Operator: Good day, and welcome to the Team Incorporated First Quarter Update Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Nelson Haight, Executive Vice President and Chief Financial Officer. Please go ahead, sir.
Nelson Haight: Thank you, operator. Good morning, everyone, and welcome to Team, Inc.'s discussion about our first quarter 2025 operational and financial results. On the discussion today are Keith Tucker, our Chief Executive Officer; and myself, Nelson Haight, Chief Financial Officer. I want to remind you that management's commentary today may include forward-looking statements, including without limitation, those regarding revenue, gross margin, operating expense, other income and expense, taxes, adjusted EBITDA, cash flow, and future business outlook, which by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the risk factors that could cause actual results to differ, please refer to the Risk Factors section of Team, Inc.'s latest annual and quarterly filings filed with the Securities and Exchange Commission, along with our associated earnings release. Team assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. With that, I will turn it over to Keith Tucker, our CEO.
Keith Tucker: Thank you, Nelson. Welcome, everyone, and thank you for joining us to review our first quarter of 2025 operational and financial highlights. During the first quarter of 2025, we continue to make progress against our strategic roadmap designed to better position Team for success and improve financial performance. Over the past two years, we have worked to simplify our business, expand our margins and address our capital structure and balance sheet. Our success to date on these initiatives helped Team to well-positioned to grow the top-line and market share. The tangible improvements we have delivered in operating performance and cash flow generating over the past two years were key to completing the refinancing we announced in March 2025, which simplified our capital structure, lowered our blended interest rate by more than 100 basis points and extended our term loan maturities out to 2030. Nelson will go into more detail about this, but I believe the hard work from all of our employees at Team has helped to make our success possible. Turning to the first quarter of 2025. We continued to deliver solid results. We made significant progress against one of our core commercial initiatives, growing revenue from midstream end markets by nearly 15% in the quarter. Our Inspection & Heat Treating segment delivered strong top-line growth with revenue up 6.8% over the prior year and up 8.8% in our core U.S. operations. In our Mechanical Service segment, lower callout revenue and delays in project and turnaround activity shifted revenue into future periods, which offset the growth in our IHT segment. Overall, revenues were essentially flat year-over-year, but I want to remind you that, our work is seasonal, and while winter is usually our slowest time, we also experienced negative impacts to the top-line from adverse weather in January that adversely impacted our customers and our activity levels. Having said that, we expect to see increases in year-over-year activity for the full year 2025. We delivered adjusted EBITDA for the first quarter of $5.3 million. Notably, our Inspection & Heat Treating segment generated a 39% year-over-year improvement in adjusted EBITDA, driven by year-over-year revenue growth of nearly 22% in our higher margin heat treating services and 64% from our laboratory testing and inspection services facility in Cincinnati, Ohio. We continue to see benefits from our cost discipline in the first quarter with our selling, general and administrative expense lower by about $2 million versus the prior year period. We remain focused on driving revenue growth, strict cost discipline and improving operational execution. As previously discussed, in the first quarter, we kicked off a series of actions targeting further improvement in costs and operating efficiency, that are expected to yield annualized cost savings of around $10 million. In addition, we have implemented steps to improve the performance of our Canadian operations. These action are mix of top-line growth initiative and improvements to our cost structure and margin. We expect to begin to see the results from these actions in our 2025 results with the full year impact realized in 2026. Looking ahead, while we continue to closely monitor the potential impact of tariff policies and related effect on our end markets, we've experienced strong activity levels to start the second quarter and expect second quarter top-line growth over the prior year, across both segments and improved adjusted EBITDA levels. We believe our diversified portfolio of service offerings across multiple industries and our geographic footprint positions us to better navigate recent macroeconomic uncertainty around tariff policies. Our management team is focused on the things that we can control, which are continued cost discipline and execution on our commercial initiatives, and we remain committed to delivering top-line growth for the full year and at least 15% year-over-year growth in adjusted EBITDA. With that, I would like to turn it over to Nelson to discuss our financial accomplishments.
Nelson Haight: Thank you, Keith. Before I go into our first quarter results, I would like to discuss in more detail the recent actions we've taken to strengthen our balance sheet. As Keith mentioned in March, we closed the refinancing transaction that lowered our blended interest rate by over 100 basis points, simplified our capital structure and extended our term loan maturities out to 2030. Our new first lien term loan facility consists of a funded $175 million term loan that matures in 2030 and a $50 million delayed draw term loan available to company subject to satisfying certain conditions. We used the initial proceeds to repay about $158 million of outstanding debt, consisting of our delayed draw term loan and equipment and real estate loans under our ABL credit facility and a portion of the outstanding balance of our prior senior secured term loan. All remaining outstanding debt under the prior senior secured term loan rolled over into a new $97.4 million second lien term loan also maturing in 2030. The completion of this transaction addressed all our near-term maturities and lowered our cost of capital while also providing the company financial flexibility, as the company's performance continues to improve. Turning now to our first quarter financial results. Our revenue was essentially flat year-over-year and our gross margin was 23.8%. Our adjusted selling, general and administrative costs, which excludes expenses not representative of our ongoing operations and non-cash amounts such as depreciation and share-based compensation declined by almost $1 million and represented 22.7% of consolidated revenue. Our adjusted net loss for the quarter was $14.9 million also essentially flat with the first quarter of 2024. We delivered solid adjusted EBITDA of $5.3 million and continue to focus on expanding our margins through cost discipline and a focus on growing higher margin work. Since 2021, we have increased our adjusted EBITDA every year, and we believe that we will continue that trend in 2025. As Keith noted, we have continued to build off our strategic road map. And during the first quarter, we launched the next phase, targeting further cost optimization and improved workforce utilization. We expect this phase of our ongoing program to generate sustainable improvements to margins and cash flow, and are targeting annualized cost savings of at least $10 million. We are in a significantly improved position compared to where we were three years ago, and I remain confident in our ability to continue building off our progress to date and improving our overall financial and operating performance. We expect to continue delivering improvements in our results that will ultimately lead to growth in shareholder value. With that, let me now turn it back over to Keith for some closing comments.
Keith Tucker: Thanks, Nelson. Over the past several years, we've made significant progress against our strategic plan, designed to drive improved operational and financial performance. We expect to continue building off that progress in 2025. For the full year, we expect to see year-over-year growth in revenue, improved performance from our Canadian operations, at least 15 year-over-year growth in adjusted EBITDA and further meaningful progress towards our adjusted EBITDA target margin of at least 10%, all of which we believe will lead to further growth in shareholder value. Our progress to date would not be possible without our outstanding and experienced workforce, that is working every day to safely execute our strategic plan and unlock the inherent value here at Team. I am very proud of our safety culture and our focus on continuous improvement, because at the end of the day, our people are our most vital asset and no job is too important not to be done safely. In closing, I remain confident about our future because I'm a firm believer in our capabilities, talented employees and our leadership team. We have delivered improved results over the past three years, and we remain committed to continuous improvement in margin, cost discipline and cash flow generation. I believe that, we are well-positioned to sustainably and profitably grow Team well into the future. Thank you for joining us today and for your continued interest in Team.
Operator: